Operator: Good morning, and welcome to the Harvest Health & Recreation Conference Call to review the First Quarter 2021 Financial and Operating Results and discuss the company's performance outlook. At this time, all participants will be on a listen-only mode. The call will begin with prepared comments by the management. There will not be a question-and-answer session during today's call. Today' s conference call is being recorded. I would now like to turn the conference over to your host, Christine Hersey, Director of Investor Relations for Harvest. Thank you. You may begin.
Christine Hersey: Thank you. Good morning everyone, and welcome to Harvest's first quarter 2021 earnings call. On today's call are Founder and Chief Executive Officer, Steve White. Today's remarks may include forward-looking statements which are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. These risks and uncertainties are detailed in the company's reports filed with the United States Securities and Exchange Commission and Canadian securities regulators, including our annual report on Form 10-K which was filed on March 30, 2021 and our quarterly report on Form 10-Q – which will be filed this week. This report when filed along with today's earnings press release and a PowerPoint presentation can be found under the Investors section of our website. Harvest assumes no obligation to update or revise any forward-looking statements to reflect events or circumstances that may arise following today's call.
Steven White: Thank you, Christine. Good afternoon everyone, and thank you for joining us. I appreciate your continued support and interest in Harvest, and the opportunity to provide you with an update on our organization. Today's call we'll focus solely on Harvest and our first quarter results. For details pertaining to the planned acquisition of Harvest by Trulieve, please refer to the information provided in the press release, presentation, and investor call which will follow this call. As we outlined during our last call, we remain focused on building a sustainable and scalable business during this time in the current patchwork of laws and regulations limit the number of competitors serving this rapidly growing industry. We have worked over the past year to streamline our operations and deepen our footprint in our defined core markets. These markets are well populated, state regulated, limited license markets that allow the opportunity to build scale and have potential upside from catalysts such as expansion to include recreational sales. Our core markets offer fast and favorable returns, which we can redeploy as we identify and enter new states that meet our criteria for capital allocation. For 2021 we have identified three top operational priorities and two top financial priorities that support our goal of positioning our company to best take advantage of current and future growth opportunities in the  cannabis. The operational priorities include first, successfully managing new recreational sales in Arizona; second, increasing our cultivation output; and third, getting our Pennsylvania stores open as quickly as we can. Financially, our priorities are first, improving our balance sheet, second increasing overall financial performance by focusing on impactful PKIs. Starting with our first operational priority in 2021, successfully managing the addition of recreational sales in Arizona. As I described during the last call, our team did a phenomenal job preparing for and implementing recreational sales in our home state. We began selling to recreational customers at all of our existing 15 locations in Arizona on January 22 and realized a significant increase in revenue during the first quarter.
Operator: Thank you. This concludes today's conference call. You may now disconnect.
Q - :